Operator: Good morning. Thank you for standing by and welcome to Booz Allen Hamilton’s Earnings Call Covering Third Quarter Results for Fiscal 2016. At this time, all lines are in listen-only mode. [Operator Instructions] I’d now like to turn the call over to Mr. Curt Riggle.
Curt Riggle: Thank you. Good morning and thank you all for joining us for Booz Allen’s third quarter fiscal 2016 earnings call. We hope you’ve had an opportunity to read the press release that we issued earlier this morning. We’ve also provided presentation slides on our website and we are now on Slide 1. I’m Curt Riggle, Vice President, Investor Relations and with me to talk about our business and financial results are Horacio Rozanski, our President and Chief Executive Officer; and Kevin Cook, Executive Vice President and Chief Financial Officer. As shown on the disclaimer on Slide 2, please keep in mind that some of the items that we will discuss this morning will include statements that may be considered forward-looking, and therefore are subject to known and unknown risks and uncertainties, which may cause our actual results in future periods to differ materially from forecasted results. Those risks and uncertainties include, among other things, general economic conditions, the availability of government funding for our company services, and other factors discussed in today’s earnings release and set forth under the forward-looking statements disclaimer included in our third quarter fiscal 2016 earnings release and in our SEC filings. We caution you not to place undue reliance on any forward-looking statements that we may make today and remind you that we assume no obligation to update or revise the information discussed on this call. During today’s call, we will also discuss some non-GAAP financial measures, and other metrics, which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our third quarter fiscal 2016 slides. It’s now my pleasure to turn the call over to Horacio Rozanski, our CEO, and he will start on Slide 3.
Horacio Rozanski: Thank you, Curt. Good morning everyone and thanks for joining us. And for those of you on the East Coast I hope you and your families are fairly well during the weekend snowstorm. The financial results we report today are a continuation of the journey that Booz Allen has been describing for three years. Even before the federal market contracted, we saw the storm coming and set our company on a path to first weather the downturn and then rebound out of it with new strength. By managing the business well and investing in the right capabilities talents and markets, we are becoming an essential partner to more clients, winning new business, gaining share and solidifying our current position as an industry leader. With three quarters, of fiscal year 2016 on the books, we’re maintaining a steady path to sustainable quality growth. As we know in the last quarter, our success with contract wins this year are firms that we correctly anticipated our clients needs and have invested in the right areas. We will continue to invest in specialized talent or innovation agenda and advanced technical capabilities, things like systems delivery, advanced engineering, data analytics and cybersecurity, because when you combine them with the breadth of our client base our exceptional consulting expertise and our deep understanding of clients missions with all the differentiated position in the market. Our clients are seeing it, our own people are excited about it and where primed for growth because of it. One of my favorite descriptions of leadership is that it is the art of having one foot in the present and one foot in the future. I think Booz Allen has proven itself as a leader by that definition, driving the business for long-term success, while also focusing on operations day-to-day and making the right adjustments when needed. As we’ve discussed in previous calls, in the first half of this year, we aggressively pursued opportunities spending more heavily in bid and proposal and other indirect costs, to capture as much work as possible. We successfully built our backlog and evolved our portfolio and still today, we continue to see healthy demand across the business. As we open the second half, we told you our priorities would be to ramp up and hiring, get work started on new contracts and increase billability, also drive revenue growth with some benefit this year but more so in fiscal 2017 and 2018. Our operational focus in the third quarter has yielded progress in our priorities that are still quite a bit more to be done. Headcount increased, work is ramping up on key contracts and billability improved from the second quarter. Even this trend lines, we remain confident about organic growth this year even as revenue was flat this quarter. Furthermore, our determined effort to hire and retain the best talent and execute against our large backlog will support growth in FY’17 and beyond. At both the top and bottom lines we’re narrowing our guidance and Kevin will provide more detail. But before I turn the call over to him I wanted to highlight a couple of other things about the quarter. First, the market environment has stabilized and we continue to see opportunities to win additional work. The Budget and Appropriations Bill enacted before Congress recessed in December, should only help matters by giving our clients the certainty they need to plan for the future. Second, our pipeline remains healthy. We were very pleased with the seasonally strong book-to-bill for the quarter and our backlog is up significantly year-over-year, remaining at levels we haven’t seen since before the downturn. And as we’ve said previously, if you look at the big increase in priced options, you can see the prospects for revenue growth in coming years. With that as context, we’re announcing today a 15% increase in our regular recurrent quarterly dividend. Beginning this quarter, it is $0.15 per share, which reflects both our confidence in the business and our commitment to deliver value to shareholders. As you know, the third quarter also includes the purchase of the software services of unit of SPARC located in Charleston, South Carolina. The software developers at SPARC specialize in Agile and DevOps methods, which are in high demand. The acquisition demonstrates again our approach to M&A. We’re focused on small capability based plays that then bolster organic revenue and that aligned to our growth strategy. In this case, we made the acquisitions to fortify an already strong systems delivery business. The SPARC team will remain in Charleston and anchor an Agile development hub for us in the south. Only three months after the acquisition their operations are fully integrated into the firm. The transaction is expected to add about $50 million in revenue to our business on a full-year basis. Lastly, I want to mention the National Data Science Bowl, which we launched in December and co-sponsored with Kaggle. We created this event to showcase our position as a leader in the global data science community, to attract talent and to provide an opportunity for our own data scientists and others, to sharpen their skills while doing something good for the world. This year’s poll [ph] challenges data science scientists to create an algorithm that can transform how doctors diagnose heart disease. The current process is time consuming and labor intensive, involving careful examination of MRI images by specially trained cardiologists. The competitors are developing solutions to this problem using a rich data set of MRI images provided by the National Institutes of Health and the Children’s National Medical Center. More than 380 teams have developed more than 2,500 algorithms already, and the winning algorithm will be shared openly this spring. As part of our innovation agenda, Booz Allen has made a significant investment in next-generation analytics. With more than 600 data scientists at the firm, we are now a premier provider of data science to the federal government. Our professionals are passionate about their vacation and they potentially host to fundamentally transform the way we approach the world’s toughest problems. Booz Allen is extremely proud to co-sponsor the Data Science Bowl and we look forward to seeing the differences competition could make to millions of heart disease patients and their families. With that I’ll turn the call over to Kevin for more discussion of our financial results.
Kevin Cook: Thank you, Horacio. Before diving into the specifics of the results for the quarter, I’d like to highlight a couple of key points, on Slide Number 4. First, the awards in the quarter. In October we talked about the strength of our opportunity pipeline and our intent to continue spending on proposal efforts to convert that pipeline. Our success with awards in the third quarter is notable because typically it’s our weakest quarter for awards. Book-to-bill for the quarter was 0.64, compared to 0.36 last year. In fact this was our strongest December quarter for awards since 2010. The second key point to emphasize is our expectations for the future. As Horacio said we are optimistic about achieving modest revenue growth in fiscal year 2016 and we believe we are positioning ourselves for improving growth in fiscal year 2017 and beyond. The increase in the regular quarterly dividend reflects our confidence in the future. Now let’s turn to drivers of the results for the quarter in the first nine months of our fiscal 2016. You’ll see the details on Slide Number 5. As we’ve noted in recent earnings calls, we made a decision in planning FY’16 to spend heavily to capture opportunities, particularly in the first half of the year. This aggressive stance which built our backlog has produced higher year-to-date indirect spending. We will continue to invest in people, markets and capabilities, so that we can capture additional opportunities and deploy resources against those which we have won. Revenue in the quarter reflected the impact on cost reimbursable contracts from higher indirect spending and the release of certain provisions for the potential recovery of allowable expenses. These increases were offset by a decline in billable expenses and a modest decline in direct labor. Looking at headcount, we have talked about our need to hire against our large backlog. This continues to be the case. We previously noted the challenge that the holidays present to hiring in the December quarter. Even with that challenge, sequentially, we increased headcount by about a 100 staff over and above the 270 professionals who joined our firm when we acquired the software services unit of SPARC. We plan to continue building on this progress as we close this fiscal year recruiting, hiring, and retaining the best talent and putting them on contracts as soon as possible, which will bolster our direct labor and thus our revenue. Adjusted operating income was relatively flat year-over-year due to the same factors that produced our revenue results. Adjusted net income was affected by the same factors as adjusted operating income, as well as certain federal and the state tax credits realized in the quarter. The increase in net income over the prior year period was attributable to the same factors as adjusted net income as well as the release of certain income tax reserves related to the acquisition of the company by the Carlyle Group in July 2008. Adjusted EBITDA was driven by the same factors as adjusted operating income. The increase in adjusted diluted earnings per share and diluted earnings per share were driven by the same factors as adjusted net income and net income respectively, with both also benefitting from a reduction in diluted share count compared to the prior period. Turning to cash, in the third quarter we saw an improvement in cash as collections normalized and working capital needs driven by our spending profile began to subside. While working capital needs will continue to weigh on cash generations with pivot to growth. As we said on our first quarter call, we thought the cash position would improve during the fiscal year. That improvement is on track and is anticipated to continue in the fourth quarter. I’ll conclude with our guidance. Please turn to Slide Number 6. Consistent with our practice at the end of our third quarter each year, we are narrowing our guidance for the full fiscal year 2016. We expect gross revenue to grow in the range of 0% to 2%. At the bottom line, we expect diluted earnings per share to be $1.87 to a $1.93 and adjusted diluted earnings per share to be a $1.61 to a $1.67. The increase in the diluted earnings per share guidance reflects the release of certain income tax reserves as mentioned previously. After three years of revenue contraction, even a little growth is welcome news. We are on a steady trajectory building brick by brick to sustainable quality growth. Our confidence in that trajectory gives us the flexibility to reinvest in the firm and we intend to further build on the investments in people, markets and capabilities that have helped us come out of the market downturn with new strength. Now I’ll turn it back over to Horacio, and he is on Slide Number 7.
Horacio Rozanski: Thanks Kevin. One of the most important things to understand about our performance quarter-to-quarter, and year-to-year is that the results are guided by and aligned to the growth strategy we set in place more than three years ago. Under Vision 2020, we’re transforming the firm, as we grow our systems delivery, engineering, cyber and innovation service offerings, attract unique talent and expanding into commercial international markets. This transformation, followed not only by what is new, but also by our traditional strengths in consulting, our mission knowledge and the depth of our client base, creates the kind of growth that enhances our differentiation and can lead to significant value creation for our shareholders. The fundamental objectives of our strategy can be summed up as follows: we’re moving closer to the center of our clients’ missions; we’re increasing the technical content of our work; we’re attracting and retaining superior talent in diverse areas of expertise; we’re creating a broad network of external partners and alliances and we’re leveraging innovation to deliver complex, differentiated, end-to-end solutions to our clients. Today I’d like to highlight a few examples that demonstrate success with the first objective. We’re winning and executing work that is central to our clients’ most critical missions. This is at the core of being an essential partner. A first example is our Tactical Communications support to the war fighter. At the end of September, we won $159 million task order on the General Services Administration Alliant contract to provide systems engineering services to the army’s Network Enablers project. This is a new client for us all white space. And it builds on a record of success in providing engineering and cyber support to other army clients, including the program managers for tactical radios and for the Warfighter Information Network-Tactical, also known as WIN-T. The reason we want is simple. We were at full understanding of both the technology and the mission which meant we could build the right team, as well as a comprehensive solution. The investments we have made in engineering, systems delivery, and cyber in recent years, clearly helped us capture this opportunity and expand our communications business and it aligns perfectly with the C4ISR focus of our growth strategy for engineering. Under these new five-year single award task order, which was executed by GSA’s FEDSIM, we will help army network enablers, ensure the security and fidelity of the information transmitted across the network. Simplified war fighter, and first responder network tasks and operations and streamline the delivery of hardware and software to meet changing technology needs, all of which helps protect our soldiers as they protect our country. The second example of our strategic shift towards the center of clients’ missions is our work on benefits program, at the Department of Veterans Affairs. At the VA, we have expanded our relationship from acquisition support and programmatic tasks to holding the majority of the key technology projects under the MyVA initiative. The goal of this initiative is to make a broad array of benefits, easier for veterans to access, a priority for the department. For example, we have core responsibility for helping the VA replace a confusing network of 1,400 web pages and hundreds of toll-free numbers with a seamless, understandable digital experience through which veterans can access their benefits. In addition, we recently won a $72 million contract for cloud hosting functions and $115 million contract for technology and integration services, which together will vastly improve access to benefits and the user experience when he or she interacts with the VA. Down in Charleston, the software developers at Sparc, now Booz Allen, have helped dramatically improve the way that VA processes disability compensation and pension claims. As you may know, this is a priority that has the attention of both Congress and the White House. Since March 2013, the team has helped transition the VA from a paper-intensive processing of disability and pension claims to a paperless environment. And there are group of contracts worth more than $80 million through 2017, we provide technical program management and support services, software engineering, systems design, enterprise architecture and production operations, including 24/7 monitoring of the system. The team of more than 200 skilled professionals is building new features for the Veterans Benefits Management System applications while also supporting the existing features. I had a chance to visit Charleston in November. And in talking with the people who do this work, you could hear the pride they take in serving this mission. The claims backlog has dropped by 87% since March 2013. And the total inventory of claims is down by almost 60%. Now there are many, many other examples of our strategic focus on moving closer to the center of our client’s missions. The benefit is multi-dimensional. First and foremost, mission-critical work is meaningful, it makes a difference and that helps us attract and retain the best talent. Mission-critical work is also insulated to a certain extent from shifting priorities and budget uncertainty, an important plus as we reached our sustainable quality growth. In sum, we are confident that this mission focused essential partnerships not only create near-term success, but also help us gain market share, generate revenue for continued investment and sustain our business over the long-term. With that Curt, I think I’ve said enough. Let’s move to Q&A.
Curt Riggle: Great, thank you Horacio and Kevin. Abigail, at this point, can you please provide instructions for the question-and-answer session of the call?
Operator: [Operator Instructions] Our first question comes from line of Brian Gesuale with Raymond James. Your line is open.
Brian Gesuale: Yes, good morning guys, nice job on the results.
Horacio Rozanski: Thanks Brian.
Brian Gesuale: I wanted to ask you for a little bit of color on the commercial cyber business. Maybe give us an update on some of the quantitative and qualitative metrics that you used to benchmark that this?
Horacio Rozanski: I’ll start. We have not broken out the numbers on a quarterly basis, sometimes we talk about it more generally at the end of the year, I’m sure we’ll do the same. But in general what I would say is we continue to see very interesting robust demand, obviously this is an issue that is on every CEO on every board’s agenda. And so on a qualitative basis our portfolio of clients includes a really blue chip names that we are proud to serve the work that we do with them is of course confidential. But in general what we are seeing as a source of strength for us is that clients more and more want to emulate the approach to managing their cyber portfolio in the way the government does it around things like fusion centers, and a lot of both ideas and technologies that came to bear after 9/11 when federal government had to think about, how you take these disparate sources of information and turn it into actionable intelligence, you can go do something about it and of course we have a great deal of expertise with us, so we have been at the center of helping some of our clients transform their businesses in that direction. We believe that that trend has quite a bit of legs and will continue on both here and to the extent that we’re interested in some international markets we’re seeing demand for these kinds of service over there as well. So we remain excited about these prospects, it’s obviously is more part of our business. But it’s a good part of our business, and one that is growing and one that gives us the opportunity to attract talent that really can cross from one side to the other. That also bolsters our data science and analytics portfolio it also bolsters some of the agile development work that we’re doing. So there’s quite a bit of good news there.
Brian Gesuale: Great, thank you. And then just one more for you, with all the M&A news that’s been out there, can you maybe comment on how you see the competitive landscape evolving over the next two or three years as some of your competitors are growing larger? And maybe comment on any tactical adjustments if any Booz Allen would take in the future?
Horacio Rozanski: That’s a great question. We thought that might be coming. Let me say this, I’ll start, and I’m sure Kevin is going to want to get in on this one. I think Curt is going to want to get in at this one, as well. We have a lot of thoughts but I don’t want to talk about what other people are doing. Let me talk about how we think about ourselves in the context of an evolving marketplace. First of all, all the way – you can go all the way back to when I joined Booz Allen in 1992. And our conversation was that we wanted to be the best, not necessarily the biggest. That there was power in being the best in terms of client service by the impact you have on your clients and this notion of essential partnerships, that you want the best people, you want to be able to attract them, and retain them and given careers that make them want to stay here. And especially since we’ve been public, you want to be – provide your shareholders with the best returns. And I think against those metrics at least in the way we think about that we feel very, very good about where we are. You know, size, I think, is important to reach a certain level of scale and scope that allows you to play the market both broadly, to make the right investments. And so forth size on the other hand is something that you need to manage to make sure that you can stay nimble and agile. And we care and think a lot about that. I think, we have the track record of moving up and down if not ahead of the market at least with the market. And in an environment where priorities are going to shift, especially with an election this November agility and nimble ability is a great – of a great importance to us. So when we often [ph] thought about our strategy and we continue to refine it and rethink it. We built our strategy thinking about all of these market dynamics. And it’s not just the pure plays which are capturing perhaps the news with M&A right now, you have to think also at the large system integrators which are largely focused in the commercial market but have a great deal of scale that they can bring to bear in the federal market and often do. You also have to think in particular about the smaller, newer companies that are acting as disruptors across markets, which is why we have a robust innovation agenda. And we build partnerships with them so that we are on the side of disrupting the market as opposed to on the receiving end of it. And across all of it like I was expressing before in the prepared remarks, what we’re trying to do is build a differentiated position that is unassailable or at least sustainable because it’s at the center of client’s mission and because it combines what Booz Allen is already be known for, as the best consulting firm in the sector. As one with the closest, tightest, most insightful client relationships and mission understanding, and now building on that specific, very targeted, technical capabilities that make all of this work. So that’s really our strategy and we obviously look at the market very closely and we will adjust as needed. But we have been and remain very confident on our strategy we are on a winning track and a winning proposition.
Kevin Cook: Yes Brian I would add that, Curt and I attend the various investor conferences we were at two last follow one in Boston, one in New York. And I was actually quoted in one of those I ws saying that, taking a $4 billion, $5 billion, $6 billion services business from an aerospace firm and matching it up with Booz Allen Hamilton would change our culture overnight and that was not something that we were going to mortgage and we stuck to that perspective. You can tell by the acquisition of SPARC, I think, once again we’re delivering on what we told you we were going to do which is smaller acquisitions that increase our capabilities at the right price and a good culture fit. And we’re going to continue down that path. And I think that the strategy as Horacio outlined is supported by what we’ve done and will continue to deliver.
Brian Gesuale: Great guys. Thanks a lot.
Horacio Rozanski: Thank you.
Operator: Thank you. Our next question comes from Bill Loomis with Stifel. Your line is open.
Bill Loomis: Hi, thank you. Can you talk about just the in terms of direct labor you had great awards in the September quarter. Can you talk about how they staffed up and what should we be expecting in terms of consulting headcount growth looking into the fourth quarter and even the first quarter beyond that?
Kevin Cook: Hey, Bill, it’s Kevin. From a direct labor perspective, as we said in our prepared remarks that we did grow our headcount even though our third quarter, which was the December quarter is very difficult to recruit and people are more focused on the Christmas parties and eating turkey than starting a new job. But we did, even with that challenge, we did grow our headcount by about a 100 out of the 270 folks from SPARC. And I would expect us to accelerate the hiring in our fourth quarter and into the first quarter as you stated. And put those people to work as quickly as we can against the backlog that we have. So it’s more of an acceleration from probably the middle of the third quarter, into the fourth and into the first quarter of our fiscal year.
Bill Loomis: It’s okay. So nothing unusual in terms of Federal customers dragging their feet on ramping contracts up or anything like that?
Kevin Cook: Not at all.
Bill Loomis: And then the other just one picky point on the income statement, just the swing in other income year-over-year what was that in that quarter?
Kevin Cook: It’s funny Bill, I had a funny feeling somebody might ask me about that. It has to do with the migration of some receivables from short-term to long-term and shows the impact on the cash flow. The biggest driver was – of the cash flow change is the AR, significant AR reduction we showed this quarter last year and so that skewed the number of bit last year versus maybe this year. But it really had to do with the long-term AR resulting from capturing some rate adjustments on old contracts.
Bill Loomis: And that showed up in the income statement?
Kevin Cook: No that showed up on the balance sheet. What where you asking about?
Bill Loomis: The $500,000 the swing $1 million year-over-year swing other income on the income statement?
Kevin Cook: Yes, we had a one-time collection of, final collection on a contract we sold three or four years ago, when we were concerned about OCI in the intelligence market. And so that 600K hits other income.
Bill Loomis: Okay, great, thank you.
Operator: Thank you. Our next question comes from the line of Edward Caso with Wells Fargo. Your line is open.
Edward Caso: Good morning. Congrats on another solid quarter. My first question is around your view of the market over the next several years. Progression is really sort of what I’m trying to feel here. And the implications include – within that the implications about pricing where it is as your existing book rolls-off and your new book rolls-on is there a drag from pricing that may hold back a little bit of an improving market. Thank you.
Horacio Rozanski: Hey. All right, Horacio. Let me start by saying, I’ll reiterate maybe somethings we’ve said in the past just to demonstrate consistency for another reason. But we view this market as stabilizing. It’s certainly not a growth market. But it is one where, I think, Congress gets partial credit. This is not the smoothest process you could hope for appropriations but there is the sightlines are clearer than they were two or three years ago in terms of funding and where the money is going to be. And then a lot of the credit in my book goes to our clients, who really have figured out how to prioritize decreasing funding in cases where funding is decreasing much better or increasing funding stores are top priorities. And so that’s sort of the market as we see a couple of years ago just to give you some color. I was out in the West Coast talking to fleet commanders over there. And they were worried about whether they were going to be able to program enough ship maintenance. And I was out again few months ago and I asked the same question and they said, no we now know how to do it. All ship maintenance is being – which obviously is a key priority for them, we fund that first and then we fund priorities in decreasing order down to the things that are optional that maybe before we would have done now we no longer do. And that is an adjustment that we’ve seen as command structures have adjusted to the funding environment that from our perspective is very positive, because when clients have that kind of stability and that kind of understanding, one of our great strengths is we moved to where the box [ph] is going to be. And so we shift our efforts to where we believe funding is going to be present. And so that I think is the general sense of it. In terms of pricing, again I’ve talked before about this notion of a bifurcating market and it is not perfect, this market, it never is for any market certainly not for one where you have essentially a large multipart client. But there’s a market for truly critical services that need to be done right that require advanced expertise, advanced technology the best of the best. And pricing there we believe and we are seeing in the results is more insulated from the pressures than the pricing on the more commodity end of the market. And so when you net it all out we are holding our own in pricing, we are gaining share, we believe by at least our definition broadly across the market and this is going to be a game where again in a stable but relatively flattish market, those who gain shares are going to be the winners and those who can move to the places where the funding is going to be are going to see more of it. And that’s why we have always focused on agility and being nimble, that’s why our people are close to the client and understand what the needs are and that’s why we’re building the capabilities that we’re building. So that hopefully gives you a sense for how we see the market both sort of transitions in over the next couple of years.
Edward Caso: Let me ask my other question on the supply side of the model. Is – are you seeing any pressure on demands for better wages that may have implications for margins? Are you seeing any uptick in attrition? Obviously you’ve a higher skill base than others so I would assume you would be a happy hunting ground for other firms to come after. And where do you stand on a bench, are you now with a more positive view of the world working to come off that sort of hyperlink bench that you’ve had?
Horacio Rozanski: I’d say both a great question and it’s actually many questions all rolled into one. So maybe it’s a great many questions that you are asking. Let me offer the following. I think the downside of having the best people is exactly what you said which is everybody wants them. But we stick to our guns and we are confident that we have a value opposition that both attracts and develops outstanding professionals. And we are doing a lot to continue to make sure that we are the top end of that. And a lot of that is going to be the work. Great people want to do great work. Quite frankly, at this point in terms of competition a lot of our competition is from outside the industry. You know people want to go to where the excitement is. And we can provide exciting work that is mission-critical, that has – it’s much more purposeful. Say if you are data scientist or a cyber expert, to be protecting troops, to be protecting the country than to figure out how to do – how to get people to click on an app more often on a website. And I think at the center of a value proposition is where we find ourselves. Competition for talent has always been, sort of part of our game. We compete aggressively against the different players. At one point it was our, call it the pure play competitors, at one point it was the government itself in sourcing. Now it’s all of these other forces. But in general I think we’re confident that we can have and do have the people that we need to do the work that we need to do for our clients. In terms of the size of the bench, it is not going to be uniform across the business because we look at growth in some areas more than in others and so we want to make sure that in the places where demand is plentiful, even double digit which is some places it is we’re trying to build ahead of that demand. In other places we’re staying very lean and so forth. And of course there isn’t the room in the race to just have a lot of people floating along with nothing to do that has never been the case and it’s not going to be the case now. We’re also not seeing, you asked a question about pressure on margins. We’re not seeing pressure on margins from being able to pay people what we need to pay them to retain them. So we’re not concerned about that dynamic. So all in all, it’s a competitive market for people. Booz Allen has great people we will continue to have great people and we’re going to work hard to retain them.
Edward Caso: Thank you.
Operator: Thank you, our next question comes from the line of John Raviv with Citi. Your line is open.
John Raviv: Hi, good morning. Thanks for taking the questions.
Horacio Rozanski: Good morning.
John Raviv: On EBITDA margin into year end, just looking at the trend year-to-date it seems me you’re getting the flat this year in you require a big fiscal 4Q ramp in margin. And how does that happen amidst higher investments?
Kevin Cook: Yes, this is Kevin. What we said, on our last earnings call we’ve actually been saying it for some time now, is that we’re going to be relatively flat year-over-year, it could be down a little bit in some years, it could be up a little bit in some years, but we’re going to invest to grow the business. Last year in our fourth quarter we had a very low EBITDA margin. We will clearly beat that this year. And so we will be in the range shall we say – you’re spot on though. It’s a very delicate balance between driving EBITDA margin up, versus hiring the people and investing for growth. And that’s the balance that we continue to work.
John Raviv: Kevin is there a number that you have in mind in terms of what you’d like to keep the company at of if the investment opportunities are there could we see Booz Allen total margin actually contract year-on-year for a couple of years to mid-nine’s, for example, or is 10% still the right steady-state.
Horacio Rozanski: Last year we ended at 9.9.and what we’ve said is we will be relatively flat for the next year or two. And it could dip a percent or a tenth of a percentage could go up a tenth of a percent something in that range. But look we’re going to manage the business, we’re going to invest as we need to, that cost us a couple tenths here and there then it’s the right thing to do because it positions us for the long-term sustainable growth that we’re looking for.
John Raviv: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Tim McHugh with William Blair & Co. Your line is open.
Tim McHugh: Yes, thanks. I guess just somewhat connected to that prior question in given a better environment and given your stepping up the investment and I guess willing to take a little bit on a margins that you need to in the near term. What does success look like for you in the next two years in terms of the topline growth? I guess, what would you like to achieve? I think you had talked about mid-single digits getting back to that at some point but you’ve also stepped up investments and the markets gotten better. So I guess just be curious to your latest thoughts on that.
Kevin Cook: Well I think the latest thoughts are that we’ll give you our guidance for next year in May. But in general you’ve heard Horacio and I talked this morning about higher growth rates in FY’17 and beyond. And what you have to understand is this is not a V [ph] where we’ve had decline all of a sudden there’s an inflection point and there’s this, a vector that’s at above 45 degree angle if you can envision the picture. This will be a long-term growth, year-over-year growth. You saw that we’ve said where we will grow this year now somewhere between 0% and 2%, obviously we expect to do better than that next year. And we just assume take the next three or four months as we prepare to give your guidance in May to see how the market shakes out, see how our hiring ramps up and then we’ll be in a much better position to be a bit more specific
Horacio Rozanski: Let me emphasize on that, this notion of sustainable quality growth is what we really talk about both internally and externally. We could drive near-term topline much faster if we didn’t care what comes in through the door. But we do and we care deeply because I think the measure of success is more growth in 2017 than in 2016, more growth in 2018 than in 2017, more growth in 2019 than in 2018 and so forth. And a lot of that is just not that entering white space and gaining shares its being able to hold on to what we have. And in fact being able to grow what we have that also gives our people much more stability and confidence to build a career here. It’s got all sorts of benefits. So the quality of the growth and what's coming in is to me just as important if not more than whether we’re a percent up or a percent down off of some trendline. And that’s really what I’m focused on with Kevin and the entire leadership team is focused on is to try and make sure that the work that we’re winning is work that is sustainable, is work that’s differentiated, its work that placed to our strengths and all other things we’ve talked about before so that we can have some confidence and express the confidence so we can build year-over-year towards a higher growth rate.
Tim McHugh: Okay, thanks. I guess just one other way to think about it is the margins, I guess where you underinvested in bid and proposal and that's why margins are coming down or is it truly, I guess just opportunistic? That’s I think something people are trying to reconcile here. In terms of is this investment just necessary to get you to where you might hope to be in a better environment or is it something that’s going to drive even better performance than you might have otherwise had?
Horacio Rozanski: Well Tim I think it's a function of what's going in the marketplace right. So when we where – the industry itself was declining, there just weren’t as many opportunities to go after. And now that the market has solidified, and is going to grow roughly $80 billion over the next two years without the OCO budget increase, you’re looking at additional opportunities. And we saw this coming, we invested heavily in the first half, we've captured record backlog and it continues with our book-to-bill in the third quarter being the highest we’ve seen in five years. The pipeline is still full. So it is opportunistic and that we’re taking advantage of the opportunities in the pipeline and we’re going to go after them. And we have the flexibility in our cost structure to be able to do that and still balance that against our margin desires.
Tim McHugh: Okay, thanks.
Horacio Rozanski: Sure.
Operator: Thank you. Our next question comes from the line of Amit Singh with Jefferies. Your line is open.
Amit Singh: Hi, guys. Congratulations on great bookings in backlog this quarter. Just a continuation of the previous question,, I mean, if you’re thinking that the hiring that you were talking about, if you just look for hiring within your overall let’s say business development function, in what inning are you there right now? Are you currently close to being fully staffed to what the opportunities you see out there for the next year or so or is there significant increase needed over there?
Horacio Rozanski: One of the great things about our model is that by and large the people doing the work and the people selling the work are the same people. And the power of that is sort of they say infinitely scalable version of how that works. But the other source of the power in that is that it leads to high quality work because it’s a lot easier to, I would say this from my experience, it’s a lot easier to sell work you’re not planning on doing yourself than it is to sell work that you actually to live up to the expectations of the client when you sold it. And so that’s why we believe and double down on this mole. We have a very strong central business development function in addition to that especially to go and shape rings that are two, three, four years out. But with that said, we’re going to continue to hire as we see need for both selling and doing work against areas where we see growth. And we will continue to move people around internally as we’ve always done from areas that don’t have opportunity to areas that have opportunity. And that’s an evergreen function. I mean we’re doing that pretty much all of time its probably happening already on this morning as we are sitting here on this call. Our system is out working hard on these issues. So I think the way to think about this is we are prudent in our investment, we’re very thoughtful, we don’t chase everything that moves because a lot of the work as I’ve described doesn’t fit the future that we want to have, it doesn’t fit with the sustainable quality growth. Notion but when it does we will arrange the resources that are necessary and while we’re mindful of managing margins and holding to our commitments to our shareholders and we view that as a top priority, I believe our shareholders want us to be aggressive when there’s opportunity to be aggressive and want us to pull back when there’s no opportunity. And I sort of what we’ve being doing and what we’ll continue to do. And how that flows in and out of any quarter that’s why we don’t give guidances on quarters, we give guidance for years, because our business is very fluid and we will shift resources and shift investment from time period, to time period as necessary to maximize the over opportunity.
Amit Singh: Great, yes that definitely make sense. And just a quick update on your commercial and international space, again it’s a very small part of your overall business. But do you still –expect that to continue growing at the double digits that was running until last year and be a boost to you are helping your overall margin growth going forward, especially considering that now that the government market is turning around you have to be – you’re focusing more and more over there to capture more and more opportunities? I just want to see, is the focus going to remain on both or temporarily it’s more on the government side?
Horacio Rozanski: I’ll say this. I think we’re well on track to another double-digit growth year for commercial and international and without getting too far ahead of my skis, we expect to or want to continue to see that trend well into the future and we expect that market and some of it is size related to grow faster than our core photo [ph] business for many years to come. And as we’ve talked before that market has attractive margin, so it’s all a value to us. I think part of the art of doing this right is to flow resources to specific opportunities that they present themselves regardless of which market in which they present themselves. And so if we see a great opportunity in the commercial market we will flow the right resources to it. If we see a great opportunity in the federal market we would flow the right resources to it. And part of the reason that we don’t like breaking our business out into segments is because we need and want the flexibility for our people to do just that. If we get a huge opportunity in the Middle East we will flow the right resources to that opportunity and we don’t penalize anybody internally for doing the right thing. In fact we reward and expect people to be doing that. And the same is true with the fantastic opportunity and the federal market requires some resources that are not working commercial to go after it and it’s the right thing to do both for our clients and our financials and for our people we will go ahead and do that. So we really try and keep as dynamic internally as we possibly can for an organization that’s almost $6 billion. And I think we’re doing frankly a very good job of that better than we’ve done in the past.
Amit Singh: Great, thank you very much.
Horacio Rozanski: Sure.
Operator: Thank you. Our next question comes from the line of Brian Ruttenbur with BB&T. your line is open.
Brian Ruttenbur: Yes, thank you very much. Can you discuss the increase in fixed price contracts we’ve seen over the last couple of quarters versus cost reimbursable and what you expect the trend to be, is that the direction you’re going and kind of your plans for the future in terms of mix?
Kevin Cook: Sure, Brian. It’s Kevin. I think there’s a couple factors here, one is we’ve had a contract transition this year from a cost reimbursable into other cost reimbursable but also some additional T&M and fixed-price work. And remember that the clients dictate the contract type not Booz Allen. That said, as we go after more solutions work, more system and software delivery, those do tend to be more fixed-price in nature. So I don’t know that we’ll see continued swing. I think the percentages that we have roughly 50% cost-plus 28% to 30% T&M and the rest fixed-price is probably going to be pretty consisting going forward. It could shift quarter-to-quarter depending on focus and delivery on one contract. One large contract versus others but for most part I don’t think you’re going to see big shifts going forward.
Brian Ruttenbur: Thank you
Operator: Thank you. Our next question comes from the line of Michael French with Drexel Hamilton. Your line is open.
Michael French: Thank you, good morning, gentlemen. Congratulations on a strong performance.
Horacio Rozanski: Thank you
Michael French: I’d like to ask about the bookings during the quarter. Maybe you could provide a little color on the drivers. So I’m just trying understand significant part of it is in improving marketplace plus you’ve been more active in submitting bids and proposals [indiscernible] sort of breakdown what you see as being the drivers and what caused are underlying factors.
Kevin Cook: Sure. In a nutshell, we’ve been as I said earlier, we have a robust pipeline we’ve been bidding against that. At the end of the fiscal year, government fiscal year, we had a record 3.5 roughly a book-to-bill, and not every client was able to pull the trigger on those contracts at that time where they were waiting for the next fiscal year funding, so I think some of those proposals that were out there spilled over a few well into the third quarter. But I think that’s not unusual year-over-year, I think it’s our focus on the types of programs that Horacio talked about earlier. We’re focused on work that is really important to our clients and therefore they awarded more on the schedule than not. We’ve hadn’t seen as many procurements slipping to the right as we saw in the prior two years. And so we think people are welcoming the two-year budget, deal our clients are and they are putting companies like Booz Allen to work.
Horacio Rozanski: Let me take this opportunity, I want to do a bit of a sort out, because I think we can talk about a stabilizing market but I think the real source of our success has been in our people. Top to bottom, from our leaders to the people that are joining Booz Allen today they come here with a real mission to do great work for clients. And at the end of the day, that is why our clients keep coming back and that is why we’re building the calls [ph] to be able to go after all of this new work. It’s the people at Booz Allen that are making all of this possible. And it is the leaders and my partners, who are all over this who are really trying to drive every possible opportunity that they can find that fits with our strategy and with our goals. And that our selflessly than giving up resources when if that’s in the best interest of the institution. And it is that behavior and that culture that at the end of the day much than the market is driving our success because when you compare our success to the success or lack of success of others, it is really our people and our culture that make the difference and everything else comes behind that but it really is behind that.
Michael French: Thank you, I appreciate that. I just have a quick one on the blizzard. And the think if you would anticipate that this storm would have any impact on the current quarter.
Horacio Rozanski: [Indiscernible]
Kevin Cook: The blizzard – I’m surprised it took this long for some it asked this question frankly. We did build, try to build that into our adjusted revenue guidance. If you look, we’re about up 1.25% year-to-date and the midpoint of the range is roughly 1%. We have roughly half of our consulting staff in the Washington Baltimore quarter, and some of those people in the civil market can work from home or telework. But we have a lot of classified work in the corridor and you have to be on the client site. With the government effectively being shut down for three days beginning new Friday to late morning this morning, there will be some impact. Our staff will attempt to make up that time some contracts will not prevent that time to be made up. So we have anticipated the impact of that blizzard in the guidance and I would add that we’re still at the end of January and we probably have four to six weeks left for Mother Nature to hit us again. But hopefully she’ll take a break and this’ll be it.
Michael French: Okay, thank you. Obviously you’ve seen people miss in the path but I’m glad you factor that into your guidance. And I hope you don’t get any more blizzards.
Horacio Rozanski: [Indiscernible]
Operator: Thank you. Our next question comes from the line of Cai von Rumohr with Cowen and Company. Your line is open.
Unidentified Analyst: Its Lucy well [ph] on for Cai. Good morning.
Horacio Rozanski: Good morning, Lucy.
Unidentified Analyst: So another way to perhaps ask about organic growth or your growth profile and out years is if you can talk about the opportunities and pressures may be in those three buckets that your peers generally talk about. Words three competes an existing business. Does the increase in your bid and proposal investments help you to maybe get a higher win rate, new awards and recompete? You talk about mid-50% win rate on your awards.
Horacio Rozanski: We’ve been very consistent even through the downturn that we win in the neighborhood of 90% to 92% of re-competes. For new work, we have a 55% to 60%, I think, has been the average. And frankly those numbers have held constant. While we are winning new work, the way we calculate it really hasn’t migrated that much. So I think those when rates will hold. We are very successful on the re-competes which is not true across the industry. Or not as true as it used to be I guess. But we’re more than holding our own there and we’re very pleased about that.
Unidentified Analyst: And then on your margin profile going forward. Do you still expect a more balanced margin kind of run rate in the first half versus the second half?
Horacio Rozanski: I think that depends on the opportunity pipeline the number of staff we need to hire. When we talk in May, we will talk about whether the pattern will be more like our fiscal year 2016 or revert to maybe what we did in FY’14, or FY’15, or somewhere in between. So while we are contemplating what that guidance would be for next year we're going to take the next three months to fine-tune and then calanderize it, if you will as to what we see in the marketplace in the spend profile that we’ll need to prosecute the fiscal year.
Unidentified Analyst: Great. Thank you.
Operator: Ladies and gentlemen, that does conclude our Q&A session. I would like to turn the call back to Horacio Rozanski for closing remarks.
Horacio Rozanski: Thank you, very much. Thanks everyone for your questions, and for taking the time to be with us this morning. Booz Allen approaches the last two months of the fiscal year with optimism about the future and a clear focus on executing our business. We're proud of the missions we serve and energized by the challenges we help clients solve. Through a combination of strong management, quality execution and steady improvement, we strive to deliver value to clients, to shareholders, and to our own excellent people. Thank you very much. And have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.